Operator: Good morning, ladies and gentlemen, and welcome to AvalonBay Communities Fourth Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. Following remarks by the company, we will conduct a question-and-answer session. [Operator Instructions] Your host for today’s conference call is Mr. Jason Reilley, Vice President of Investor Relations. Mr. Reilley, you may begin your conference.
Jason Reilley: Well, thank you, operator, and welcome to AvalonBay Communities fourth quarter 2023 earnings conference call. Before we begin, please note that forward-looking statements may be made during this discussion. There are a variety of risks and uncertainties associated with forward-looking statements, and actual results may differ materially. There is a discussion of these risks and uncertainties in yesterday afternoon’s press release as well as in the company’s Form 10-K and Form 10-Q filed with the SEC. As usual, this press release does include an attachment with definitions and reconciliations of non-GAAP financial measures and other terms, which may be used in today’s discussion. The attachment is also available on our website at www.avalonbay.com/earnings, and we encourage you to refer to this information during the review of our operating results and financial performance. And with that, I will turn the call over to Ben Schall, CEO and President of AvalonBay Communities, for his remarks. Ben?
Ben Schall: Thank you, Jason. I am joined today by Kevin O’Shea, our CFO; Matt Birenbaum, our Chief Investment Officer and Sean Breslin, our Chief Operating Officer. We'd like to start by thanking our 3,000 AvalonBay Associates for delivering exceptional results in 2023. Your efforts and dedication are what make it happen, and your commitment to our purpose and culture makes us who we are as an organization. Thank you. As a brief recap on last year, as shown on Slide four, we achieved 8.6% core FFO growth for the year, a testament to our ability to grow earnings through unique internal and external drivers. Through the proactive management of our assets, same-store revenue ended the year up 6.3%, and NOI increased by 6.2%. For external growth, our developments underway continue to outperform with $575 million of completions across six projects, delivering outside stabilized yields of 7.1%. We're particularly proud of the results from our operating model transformation, where we are delivering enhanced value to customers and driving meaningful efficiencies. As highlighted on Slide five, our operating initiatives exceeded expectations in 2023, delivering $19 million of incremental annual NOI to the bottom line, which was $7 million or almost 60% higher than anticipated. Moving to Slide six and capital allocation, remain nimble in 2023, having shifted to being a net seller during the year, with four dispositions from our established regions for $445 million, $275 million of which we'd redeployed into acquisitions in our expansion regions. We also started $800 million of profitable new development during the year, including $300 million of starts in the fourth quarter at an initial projected yield of 6.7%. We also continue to build our structured investment business this year, in which we provide preferred equity or mezzanine loans to third parties for new multifamily construction. We're well positioned to underwrite this business given our development and construction expertise and our live proprietary data and we're fortunate to be building this book of business in today's environment, reflecting today's rates and asset values. The commitments we made in 2022 and 2023, which now total $192 million, are set to deliver an uplift in earnings this year and going forward. Our balance sheet is as strong as it has ever been, with a key metric summarized on Slide seven, providing strength as we manage the business and flexibility as we consider creative opportunities that may arise during 2024. Among a set of peers with strong balance sheets, we continue to experience some of the tightest credit spreads among all REITs, providing a meaningful financial advantage. Slide eight highlights our strategic focus areas for 2024. These focus areas draw upon our foundational strengths as an organization, while also recognizing our commitment to continue to evolve and our areas we are confident will drive superior growth over a multi-year period. Front and center are the next steps in our operating model transformation. At our Investor Day, we raised our target for incremental annual NOI to come from our operating initiatives to $80 million, $55 million of NOI from Horizon 1, and $25 million from Horizon 2. Second, we will continue to drive differentiated growth from our development and construction leadership. The near-term focus is on execution of our projects underway, ensuring they deliver outsized value for shareholders and while new start economics are challenging in certain of our markets, this is the type of environment in which we've typically found some of our most attractive development opportunities. Third, as a continued multi-year approach, we have set a target of shifting 80% of the portfolio to the suburbs from 70% today, and set a target of having 25% of our portfolio in our expansion regions, up meaningfully from 8% today and given the cooling of fundamentals in the Sunbelt, we believe we can make this transition at a more attractive basis than we were able to a couple of years ago. We're also making significant and very creative investments in the existing portfolio this year, ranging from apartment renovations to the creation of new Accessory Dwelling Units, or ADUs in certain markets. Finally, and as a follow-up to my comments about our balance sheet, we are confident that there will be opportunities for us to both utilize our balance sheet capacity and bring our strategic capabilities to bear, be it operational, development, or by utilizing our scale to generate value for shareholders. As we assess the year ahead and moving to Slide nine, our baseline expectation is for a slowing economic environment this year. As we have in the past, we start with consensus estimates from the National Association for Business Economics, or NABE, which forecasts positive but very modest job growth in 2024 of 55,000 jobs per month. This muted growth tempers housing demand, while other factors such as rent versus own economics should serve as a balanced apartment demand, particularly in our established regions, where it is now $2,500 per month more expensive to buy than to rent. Nevertheless, given mixed signals and what we believe is higher uncertainty in the economy and capital markets, our approach is to remain nimble and be ready to proactively adjust based on how 2024 evolves. In an environment of uncertainty, one known factor is new multifamily supply. In our established regions, we expect new apartment deliveries of 1.6% of existing stock in 2024, and expect this figure to further decline to 1.4% in 2025. Importantly, these figures are in line with historical averages for these coastal markets, and this is quite a contrast with supply dynamics in the Sunbelt, which will have twice the level of supply and this elevated supply dynamic in the Sunbelt is expected to continue at least through 2025, simply a function of the reality that it generally takes two plus years to complete and stabilize a new development project and so as we assess 2024, we expect to be relatively well positioned given the stable demand and limited supply outlook in our established regions, but are forecasting a slower year of growth. I'll now turn it to Kevin to provide an overview of our guidance for the year and the building blocks of earnings growth.
Kevin O’Shea: Thanks, Ben. On Slide 11, we provide our operating and financial outlook for 2024. For the year, using the midpoint of guidance, we expect 1.4% growth in core FFO per share, driven by our same store portfolio and by stabilizing lease-up communities, partially offset by the impact of capital markets and transaction activity, as well as by slightly higher overhead costs. In our same-store residential portfolio, we expect revenue growth of 2.6% and NOI growth of 1.25% for the year and for our capital plan, we anticipate total capital uses of $1.4 billion in 2024, consisting of $1.1 billion in investment spend and $300 million in debt maturities. For our capital sources, we expect to benefit from nearly $400 million in projected free cash flow after dividends and to source $850 million in new capital, which we currently assume will be unsecured debt issued later this year. In this regard, thanks to our balance sheet strength and our A minus and A3 credit rating, we enjoy attractively priced debt today at around 5% on a 10-year unsecured debt that we can invest in development yielding in the mid-sixth range to support future earnings growth. We also project drawing upon $175 million or the $400 million in unrestricted cash on hand at yearend 2023, resulting in projected unrestricted cash at the end of this year of about $225 million. On Slide 12, we illustrate the components of our expected 1.4% growth in core FFO per share. We expect $0.15 per share of earnings growth to come from NOI growth in our same-store sources of growth with a $0.29 impact from capital markets in transaction activities. And with that summary of our outlook, I'll turn it over to Sean to discuss our operating business.
Sean Breslin: All right, thanks, Kevin. Turning to Slide 13, three primary drivers will support same-store revenue growth in 2024. First, embedded rent roll growth of 1%, down approximately 50 basis points from where it was at the end of Q3 2023, which is consistent with historical trends, plus incremental lease rate growth throughout the year. Second, an outsized contribution of roughly 80 basis points from the projected 13% increase in other rental revenue, which is derived from our operating initiatives and third, about a 60 basis point improvement in underlying bad debt from residents from 2.4% in 2023 to an expected 1.8% in 2024. The cumulative growth from those three primary drivers is expected to be partially offset by a 30 basis point headwind from the projected $6 million year-over-year reduction of rent relief and a modest drag from net concessions and economic occupancy. To provide a little more detail on underlying bad debt trends from residents, we're expecting a 60 basis point improvement year-over-year, our forecast reflects an underlying bad debt rate of roughly 1.6% at year-end 2024, which is still more than double our historical pre-COVID rate. Moving to Slide 14, we expect revenue growth in our established regions to be more than double that of our expansion regions, which is primarily a function of the substantially lower level of new supply in the established regions and within our established regions, we expect better demand supply fundamentals on the East Coast as compared to the West Coast. Southern California is expected to produce the strongest same-store revenue growth, which is primarily the result of a substantial improvement in underlying bad debt on a year-over-year basis. Transitioning to Slide 15 to address our operating model transformation, we're tremendously proud of our team's focus and efforts over the last couple years, which have produced approximately $27 million in incremental NOI. We expect to recognize another roughly $9 million benefit in our consolidated portfolio during 2024. The key drivers in 2024 include Avalon Connect, our bulk Internet and managed Wi-Fi deployments, along with smart access features. In addition, we expect an incremental benefit from our shift to a new organizational model, which reflects neighborhood staffing supported by centralized teams. While we have specific plans for 2024, our focus in these areas and others will continue to deliver additional value for associates, residents and shareholders for years to come. Turning to Slide 16 to address our same-store operating expense outlook, we expect roughly 340 basis points of organic expense growth, another approximately 140 basis points from profitable operating initiatives, and roughly 75 basis points from the expiration of various tax abatement programs in the portfolio, primarily in New York City. As it relates to our initiatives, the 140 basis point increase is driven by 170 basis points from our Avalon Connect offering, which I mentioned earlier, partially offset by reductions in payroll. As I've noted in the past, the deployment of our Avalon Connect offering, which will ultimately enhance portfolio NOI by more than $30 million, will pressure expense growth during the deployment period. We expect to be fully deployed by the end of 2024, so the operating expense impact will diminish materially as we move into 2025. So now I'll turn it over to Matt to address our capital allocation activity. Matt?
Matt Birenbaum: All right, great. Thanks, Sean. Turning to Slide 17, we're planning another year of accretive activity across all of our various investment platforms in 2024. We expect to break ground on seven new developments, representing $870 million of investment at a weighted average yield in the mid-6% range, grow our SIP business by another $75 million with rates on new originations in excess of 12% and expand our investments in our existing portfolio that we discussed a bit at our Investor Day, where we see opportunity to further increase our activity to roughly $100 million at yields of roughly 10%. In the investment sales market, activity levels are still low, but most market participants do expect a gradual increase in transactions as the year progresses. Our plan is to access this market as part of our portfolio management strategy, selling assets in our established regions and redeploying that capital into acquisitions in our expansion regions. We expect this activity to be roughly neutral on both a volume and return basis, buying and selling in equal amounts and at equivalent yields. As Ben mentioned, the dynamics of this trading activity look to be more favorable in '24 than they might have been in the recent past, as some short-term operating challenges in our targeted expansion regions may present the opportunity to acquire assets significantly below replacement cost. Of course, the market for all of our investment activities is highly dynamic, and we are prepared to pivot and adjust our plan in response to potential changes in the macro environment as the year evolves. Turning to our existing development underway, Slide 18 details the impressive results that continue to be generated by our current lease-ups. The four development communities that had active leasing in Q4 are delivering rents $260 per month, or 8.4% above our initial underwriting, which is translating into a 20-basis point increase in yield. As a reminder, in general, the rents we quote on our developments are current market rents as of the time we break ground, and we do not trend or update these rents until we achieve significant actual leasing velocity close to completion of the project. While market rents certainly didn't grow as much in 2023 as in prior years, there is still some lift to come when we mark the rents to market on the $855 million of lease-ups we expect to open throughout the course of 2024. We estimate this increase at roughly 5% based on where market rents are today at these specific communities, which would provide those deals with about 30 basis points of increased yield as well. And with that, I'll turn it over to Ben to wrap things up. Ben Schall Thanks, Matt. Slide 19 provides our key takeaways. We were very pleased with our execution in 2023 and expect to continue to be relatively well-positioned in a year of slower growth in 2024. We will continue to evolve and execute against our strategic focus areas, including harvesting tangible benefits from the investments we are making in the transformation of our operating model and on the capital front, we will remain nimble, adjusting to the environment as it unfolds, while also being on the lookout and ready to take advantage of accretive opportunities that may present themselves this year, opportunities where we can utilize our leading balance sheet and draw upon our unique strategic capabilities. With that, I'll turn it to the operator to open the line for questions.
Operator: Thank you. We will now be conducting our question-and-answer session. Our first question comes from the line of James Feldman with Wells Fargo. Please proceed with your question.
James Feldman: Great. Thank you. Good afternoon. So, I'd like to go back to Slide 14, and I was hoping you could talk us through what your blended rent outlook looks like in each of these regions or broken out by these regions and then if you could talk about how you think it might be different in the first half versus the back half of the year, just given the pace of supply coming online.
Sean Breslin: Yeah, Jamie, this is Sean. Why don't I give you the sort of blended rent change we expect across the portfolio for the year, so that we can talk about all the individual regions. That's a lot of data. We might want to do that offline, but in terms of the broader portfolio, our expectation is to deliver rent change of roughly 2% in 2024, which would reflect renewals at roughly 4% and new move-ins at essentially flat and as it relates to the first half versus the second half, if you think back to 2023, where we achieved 3.4% rent change, a good portion of that rent change, a stronger portion was in the first half of the year. So we do expect to see some acceleration in rent change, all else being equal in the second half of 2024 relative to the first half, assuming that obviously the economic environment is consistent with our expectations.
James Feldman: Okay, thank you for that. And then we appreciate the detailed buildup to your revenue and your expense side, but as you think about each of those buckets, where do you think there's the most variability? Where do you have the most opportunity to maybe push a little more? Where do you think you could pull back maybe on the spending side by the time yearend rolls around?
Sean Breslin: Yeah, no, good question. Taking them in the two pieces on the revenue side, obviously a significant driver is the macroeconomic environment and we provided and Ben referred to some of our assumptions. So we are expecting a slowdown given the roughly 2.7 million jobs that were produced in 2023 as compared to the current expectation for '24, being close to 700,000. So that's outside our control, but obviously we're well positioned to the extent things accelerate and we think we're also well positioned somewhat defensively given our portfolio if things deteriorate. So outside of that, I'd say what we would see is a more substantial improvement in bad debt would certainly be a tailwind. Over the last several months, bad debt rate from residents has sort of flattened out a bit and primarily as a result of what's been happening in the court system, residents that are behind getting free legal advice and things of that sort. So we started to see greater improvement in the court system in places like the greater New York region, parts of the mid Atlantic, etcetera, that would certainly give us a significant benefit outside of just the macroeconomic view and whether we were able to push rents harder or softer in the environment. On the expense side, a good portion of it is baked in terms of what we have. There's about two thirds of it are expected year-over-year increase is driven by number one utilities, which is really where our Avalon Connect offering comes through and that's a pretty embedded program we're on plan. We expect that to be where we thought it would be. Property taxes, there's a portion of that related to the pilots, but obviously to the extent assessments come in at different levels or rates throughout the portfolio during the year, that would certainly help us out. The rest of it is kind of ins and outs in different areas, and so I wouldn't expect a significant shift, but there are modest shifts from line item to line item that might move around with, payroll benefits and things like that.
James Feldman: Okay, yeah, very helpful. I guess lots to keep our eye on. Thank you.
Operator: Our next question comes from the line of Adam Kramer with Morgan Stanley. Please proceed with your question.
Adam Kramer: Hey, guys. Thanks for the time. Just wondering in terms of kind of puts and takes, the $870 million development starts, just kind of what can maybe drive that to the high end? What would cause you to maybe pull back and maybe push some of that out to 2025? And if you think about kind of timing during the year, what's kind of the view on those starts in terms of when they may, just generally take place over the course of the year?
Matt Birenbaum: Hey, sure, Adam. This is Matt. As it relates to the pace of development starts across the year, it is more back half loaded. I don't think that we maybe have any starts in Q1 or maybe one. So, we'll see how that develops across the course of the year. It really is idiosyncratic, though, based on the timing, permits, buyout of various projects. So, the things that might cause it to ramp up or down is really just changes to the deal economics. If rents accelerate or degrade more quickly than we expect in any particular submarket where we're planning to start a deal or if hard costs surprise us either to the good or the bad, that could cause us to either pull some deals forward and start more or conversely push some deals further out.
Ben Schall: Yeah, Adam, it's Ben. Just to reiterate, some of our key themes from prior conversations, and we remain very focused on the spread between our development yields and underlying market cap rates. That's the value we create, and we need to be appropriately compensated for the development risk and then the other component is obviously where we're raising the capital, both the source of it and the cost of that capital. So those are the higher level elements that we triangulate around, and then there's the deal specifics that Matt referred to.
Adam Kramer: Great. Thanks, guys and just on the January like term effective rent change, I guess the new rent specifically, and not asking you for kind of each of your markets individually, maybe just at a high level if you could display, I don't know if you want to kind of go through West Coast versus East Coast versus kind of Sunbelt, maybe just kind of general trends breaking down that January new lease number I think would be helpful.
Ben Schall: Yeah, why don't I give it to you by Coast. So on the East Coast, we're trending sort of in that low 2% range. The West Coast was modestly positive about 50 basis points, and the expansion region is essentially flat.
Adam Kramer: Great. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Proceed with your question.
Austin Wurschmidt: Great. Thanks. Good afternoon, everybody. Sean, appreciate the same-store revenue growth guidance breakout between the established and expansion markets. I think you referenced that that's primarily supply driving the delta between those two projections, but I guess if you remove some of the bad debt improvement, some of the other initiatives and just focus more so on that lease rate growth piece, how do those two regions stack up versus one another?
Sean Breslin: Yeah, probably the best way to look at it is I refer you back to the slide that we showed the revenue decomposition there and first, what I would say is that reflects, more than 90% of our portfolio coming from the established regions at this point, but in terms of just broader demand supply fundamentals, we definitely expect much better performance out of our established regions, generally speaking. The one, question that we have, I'd say, that we think we've reflected appropriately is in Northern California, which has been weaker for us recently and I think it's just a question of how the job environment unfolds. We think we've modelled that appropriately, but if you look at that slide, you can kind of see what's happening in Northern California. It is not benefiting nearly as much as Southern California in terms of the bad debt contribution. So I think on par, it's a little more reflective of apples-to-apples with our expansion regions. So overall demand-supply much better in the established regions, maybe a little bit of a question around Northern Cal.
Austin Wurschmidt: And then just, just focused on kind of the urban versus suburban, you continue to kind of talk about this strategic focus of shifting into more suburban markets and sort of a preferred incremental investment there. So what's sort of the expectation for lease rate growth when you look at those two, urban versus suburban, for the year? Thank you.
Ben Schall: Yeah, we haven't broken it out between urban and suburban in terms of the forecast. I can tell you in Q4, we certainly saw better growth out of our suburban portfolio, which was about 200 basis points. The urban portfolio was essentially flat. I did provide sort of the breakout in January as well from East and West, but in terms of urban, suburban, we've not traditionally broken that out. If you look at it on a blended basis, as I mentioned before, it was 2%. If you think across the markets, it's really kind of market specific is more the driver than urban, suburban in many cases. So for example, in the York metro area, we're expecting better growth out of this city and northern New Jersey, less growth really in Westchester, Long Island, Central Jersey. If you go to the Mid Atlantic, it's very different. We're expecting challenged growth in the district, but better growth in Northern Virginia and Suburban Maryland. On the West Coast, fortunately we don't have a lot in urban Seattle, but urban Seattle is pretty rough right now, I would say. More of our north and east side portfolio is performing much better and then generally down in the Bay Area, I think we're all familiar with the challenges in San Francisco. We certainly expect it to lag in a similar theme in LA. So I think you have to kind of go through each market individually to look at it, but that gives you hopefully some color by region.
Austin Wurschmidt: Do you think that 200 basis points in the fourth quarter is a decent proxy for what you see moving forward in the call it medium term?
Ben Schall: Yeah, I probably wouldn't extrapolate that going forward right at this point. I think it's a good kind of point for where we were in Q4. We do expect based on what I just said, a lot of these suburban markets will hold up better in some of these specific regions, but I wouldn't necessarily count on it being a 200 basis point spread as you move through the full year.
Austin Wurschmidt: Okay. It sounds like seasonality is a little bit of a factor. Thank you.
Operator: Thank you. Our next question comes from the line of Eric Wolfe with Citi . Please proceed with your question.
Eric Wolfe: Hey, thanks. I think at your Investor Day you gave an estimate around 175 basis points of annual earnings contribution from your development pipeline. I was hoping you could just give an estimate for the contribution this year and if there's just anything that might be influencing more this year versus a typical year and if it's just going to kind of be maybe a bigger contribution in 2025 as you lease up the communities that are delivering.
Kevin O’Shea: Yeah, sure. Eric, this is Kevin. It's a good question and perhaps one we're spending a little bit of time on. Up front, I'll give you the punchline and give you a couple of ways to think about the earnings accretion this year from development undergoing lease up that produces an estimate of about $0.18 of accretion per share this year, give or take, which equates to about 170 basis points of earnings growth in 2024, which is consistent with the typical level of earnings growth we get from development in most years and in line with the 150 basis point to 200 basis point earnings contribution to growth that we outlined at Investor Day last November. So maybe just before we begin, a couple of contextual comments, which won't surprise you, but might be helpful just for the broader audience. First, as you know, when you look at our investment in capital activity, we do have a broad set of investment uses, even if development is our primary use of capital, and we have multiple sources of capital. So as a result, since cash is fungible, attributing specific capital sources to specific capital uses to isolate a discrete earnings impact in a period-over-period basis requires making some reasonable estimates and assumptions. Second, as you know, since we substantially match fund our development starts with long-term capital when we start those projects, and we started the $1.6 billion or so of projects under lease up two to three years ago, the reality is that we sourced much of that capital two to three years ago. So third, when you kind of go back and look at the capital we've raised over the last, say, three years, you'd find that to fund the whole business, we raised $2.1 billion at a blended initial cost of 2.9% in '21, $1.5 billion in 2022 at a blended initial cost of 4.1%, and $1.4 billion last year at a blended initial cost of 4.6%. So some portion of the capital in those prior years was used to fund the $1.6 billion that began lease up last year and is being leased up this year as well. Obviously, we have another 850 [ph] that's in the plan for this year at kind of roughly around a 5% cost of capital, which is relevant as you look at sort of earnings growth and so forth for your modelling purposes, and the reality is that capital isn't going to be sourced to pay for the development that's already completed in lease up. And so, as you look at the $1.6 billion in lease up that currently is around a yield of about 6% and if you just conservatively just look at this from an economic point of view, which is sort of the first way to look at this, and say you have $1.6 billion development at a 6% yield, and say it was funded with some portion of the capital, the $3 billion that we raised over the last two years at call an average 4.4% initial cost, you've got about 160 basis points of spread accretion on that development, which translates into about $25.5 million of annualized profit or about $0.18 of annualized growth, which in turn equates to about 170 basis points of earnings growth on last year's core FFO. The reality is kind of using that way, and the reality is that the lease-up profitability started to feather in last year and this year, but that's probably the best way to look at the earnings contribution from the lease-up activity underway by matching it with the capital that we likely applied to it. But if you're looking instead at the earnings impact on a specific calendar year basis this year, for example, against last year, and you're looking at the $0.29 of headwind that we call out on Slide 12 from our capital markets transaction activity and our earnings deck, certainly that may be a little bit longer conversation. Happy to take it offline with you or anyone else, but I think the short answer there is of that $0.29, you can probably attribute about $0.18 of that to funding our investment activity after you subtract the $0.12 associated with the lower interest income this year, ignore the $0.08 from the SIP activity, and then take the $0.11 of financing and refinancing costs and ascribe, say $0.07 of that to the refinancing of $600 million of debt last year and the balance of $0.04 to investment activity. So what you're left with to derive that $0.18 is about $0.05 from share count, $0.05 from net dispo activity, $0.04 from lower capitalized interest expense, and then $0.04 of the $0.11 of refinancing costs and financing costs that you see there in that slide. So that's the way, another way to get at the $0.18 that can give you a sense of comfort that the one way or another what you're looking at is about 150 basis points to 200 basis points of earnings growth contribution from lease up activity this year.
Eric Wolfe: Okay. That's helpful. And then I guess just a quick one on the capitalized interest guidance. It looks like based on your guidance, the construction progress or development balance is going down by like $200 million. I'm just taking, what the interest is divided by your weighted average interest rate to get to that. But is that the right way to think about it and then I guess why would that balance be going down if it seems like spending is set to accelerate a little bit this year?
Ben Schall: Yeah, no, I think that is the right way to look at it. I don't know the exact number, but we have capitalized interest rate -- interest expense going down by $0.04, which is about $5 million year-over-year and it's at a blended capitalized interest rate of 3.5%. So I think it is going down by a couple $100 million and the reality is we have, and this is the natural ebb and flow of construction and progress. We have more completions this year than deals entering new construction. So that'll oscillate over time and it creates a little bit of a period over period volatility in the capitalized interest expense calculation, but that's just the nature of that. We don't -- we start projects when they're ready to go, not at a completely constant evenable -- even rateable basis over the course of the years and there's a little bit of CIP decline from '23 moving into '24.
Operator: Thank you. Our next question comes from the line of Steve Sakwa with Evercore. Please proceed with your question.
Steve Sakwa: Yeah, thanks. Good afternoon. First, just on a clarification, I think at the Investor Day, you had talked about an earn in of about 1.5% and I think now you're talking about an earn in of 1%. Is the difference strictly just moving from like a September 30 or Q3 to Q4? Or is there something else that kind of went on in that stat?
Kevin O’Shea: Yeah, that's pretty much it, Steve. If you think about it, a lot of our growth comes through the first nine months of the year, including short-term premiums and other activity that happens in Q2. Excuse me, Q2 and Q3 and then traditionally, it sort of decelerates as you go through Q4 and land in January.
Steve Sakwa: Okay. And maybe one for Matt on the development. You talked about the $870 million and the mid-sixes. And it looks like about a third of the starts are going to be in your expansion market. So just how are you sort of sizing that up, just given kind of the supply issues that we're facing in many of the expansion markets today and you've also benefited from basically conservative underwriting with no increase in rents, but rent growth is obviously slowing. So I guess, does the mid-sixes provide much upside going forward if rent growth is relatively flat over the next couple of years?
Kevin O’Shea: Yeah, Steve, I would say, and as I kind of mentioned in my prepared remarks, there may be less upside. Historically, if you look back over a long period of time, we tend to deliver yields that are 20 basis points to 30 basis points higher than what our initial underwriting is because we don't trend. Now, in the last two years, when rents were rising in double-digit rates in 2021 and 2022, that 20 basis points, 30 basis points was more like 70 basis points or 80 basis points, but that's why now when you look at, say, the deals leasing up this year, they'll have some of that wind at their back, but it's probably back to that kind of 20 basis points to 30 basis points that's more typical. And that's why we feel like there's an adequate margin of safety in there because we're starting them on today's economics with that 100 basis points to 150 basis points spread to current cap rates that Ben referenced. So the two deals we're talking about in expansion regions or the third of the starts this year in the plan happen to be in North Carolina. I think one is in Raleigh, Durham and one is in the Charlotte area and so you have seen rents, market rents in those markets decline a little bit in '23. So based on today's rents, there is more supply coming there. There's obviously strong demand too, and we're investing over the long term. These are 20-year investments, but I would say that margin of safety would suggest that if you start those next year, they're not going to be in lease up for a year and a half, two years after that. We feel pretty confident that we'll be able to hit our NOI numbers, if not still get a little bit of lift.
Ben Schall: The part, Steve, I'd add to that is you think about this cohort of projects. Starts are definitely coming down this year for financing reasons, economic reasons, but deals that we can make sense of and that we can capitalize in an appropriate way have the potential to open up into a pretty nice pocket, pretty nice window when you look out three years from now. So tough to forecast a lot of other variables in there. And as you said, we're conservative in underwriting based on today's environment, but we do keep that in mind as well.
Steve Sakwa: And just a quick clarification, the $870 million, is that mostly back halfway, did you think, in terms of start to the deliveries or kind of more late '25, maybe even into '26?
Ben Schall: Yeah, that's accurate, Steve.
Operator: Thank you. Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Thank you. I'm a little bit confused on the earn-in question. So I guess my first question is, can you just let us know how you define that? It's obviously a non-GAAP measure. It's a relatively new metric within this industry, but I thought that the earn-in was kind of locked in at the end of the year on leases you signed last year and what that contributes to revenue growth this year and it doesn't really quite move after that. Your lease growth rates didn't really change during the fourth quarter. So yeah, I'm just questioning how you define that?
Ben Schall: Yeah, John, I think it's footnoted on the slide, but just to be specific, when you start the year, it reflects essentially the rent roll or gross potential is a common term for the month of January relative to the average gross potential or rent roll that we had in place for 2023. So as I mentioned earlier in response to Steve's question, you tend to realize a substantial portion, if not all, of your rent roll growth in the first nine months of the year or so. It accelerates in the spring, peaks in the summer, and then starts to come down in the fall as a result of not only decelerating like-term rent change, but the mix from unlike-term rent change where you burn off short-term premiums and other things. So essentially, in Q4, you don't really see sequentially, if you think about it, any material growth occur during that period of time. So you might have eight months or nine months that you're up kind of an average of a point and a half, like as we were talking about, and the last two or three months is closer to zero and that's how you get closer to kind of the low ones. But we can certainly walk you through it in more detail offline if you like.
John Kim: Yeah, absolutely. I think it's your peers don't define it the same way. So it's worth delving into a little bit. I'll do that offline.
Ben Schall: It's also probably a timing issue. We described the point and a half as kind of where we were spot basis at the end of Q3. I know some companies sort of estimate where they think they might be in January and provide that information on their calls. We tend to provide on a spot basis.
John Kim: Okay. My second question is on your initiatives, including Avalon Connect and the capital spend you have on that. How much of that do you expense versus capitalize?
Ben Schall: For Avalon Connect specifically, the costs associated with those programs are essentially 100% expensed.
Operator: Thank you. Our next question comes from the line of Josh Dennerlein with Bank of America. Please proceed with your question.
Joshua Dennerlein: Yeah. Hey, guys. Appreciate all the color on how the Avalon Connect flows to the same-store expenses this year. Could you remind us how it's going to flow through the revenue line item this year and what kind of ramp you're assuming?
Ben Schall: Yeah. Josh, what I would do is refer you back to the slide on the revenue decomposition and that contribution of 80 basis points from other rental revenue. Almost all of it, not all of it, almost all of it is related to Avalon Connect driving other rental revenue up. There's also increasing trash fees and other things that are happening, but most of that increase is related to Avalon Connect.
Joshua Dennerlein: So, I guess maybe on a quarterly basis, because it looks like one key of a big uptick, and then it kind of drops off. So, just kind of trying to figure out the quarterly cadence.
Ben Schall: Yeah. Why don't we get back to you on that as opposed to going quarter-by-quarter on the call, if that's okay. We'll ramp up as we move through the year, for sure and essentially what happens is, think about it as mirroring lease expirations, because we push that through at the apartment level as leases expire. So that's the way probably to think about how we'll bleed through quarter-to-quarter at a high level.
Joshua Dennerlein: Okay. That's helpful. And then maybe just curious on a breakdown for expense growth, kind of like, do the subcomponents like utilities, R&M. Could you provide just like your underlying projections for that?
Ben Schall: Yeah. Why don't I give you some high level commentary, since that's a lot of categories to go through on the call, but sort of high level things to think about here; property taxes, overall, we're expecting year-over-year growth sort of in the mid 4% range. A substantial portion of that is being driven by the phase-out of property tax abatement programs, as I mentioned in my prepared remarks. Insurance, we are expecting another year of kind of double digit growth in insurance, given what's happening in the market, which, we can certainly talk about if you like. As it relates to utilities, Avalon Connect, I just mentioned, we're expecting utilities as a category to be sort of in the low double digit range and again, almost all of that is related to Avalon Connect. Core utilities are actually quite modest in terms of growth rate and a couple others maybe to mention are on the payroll side. We've essentially got a merit increase of 4%. That's about 90% of payroll. Benefits are going up about 6%. So those two combined are 420 basis points, but we're picking up about 100 basis points from our payroll reductions. So that will net out in the low threes and then the only other thing of note I would say, really, that's a little unusual, is in our office operations category, it's accounting for 20 basis points, 25 basis points of total expense growth, really related to legal and eviction costs that were somewhat elevated last year. We expect them to be elevated a little bit more this year as we continue to process people who are non-paying residents. So those are some sort of high level comments. Hopefully those are helpful.
Operator: Our next question comes from the line of Brad Heffern with RBC Capital Markets. Please proceed with your question.
Brad Heffern: Yeah, thanks, everybody. Can you just talk about how the start of the year has looked so far versus the kind of normal trends for demand, rent growth off the seasonal trough, etcetera?
Ben Schall: Yeah, happy to take that one, Brad, pretty much consistent with what we've outlined in terms of our outlook. And I would say relative to historical norms for January growth, it's modestly below. Sort of if you look at the change in asking rent in the month of January, say, for the five years pre-COVID as compared to this January, asking rents are trending up just at a slightly lower growth rate.
Brad Heffern: Okay, got it. And then I know you get the blends already, but I was curious if you could give the underlying assumption for market rent growth across the portfolio in '24.
Ben Schall: Yeah, we're expecting average asking rent growth throughout the year to be sort of in that 2.25% to 2.5% range and actual rent change in the portfolio would be roughly 2%.
Operator: Thank you. Our next question comes from the line of Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Good afternoon. Thanks a lot for taking my question. You use a macro scenario from NAI [ph] of like about it seems like 1% GDP growth and 55,000 jobs per month. How sensitive is the rent growth to kind of your underlying macro forecast? Like said, another way, if the economy is better, how much more rent growth can you get in 2024? Thank you.
Sean Breslin: Yeah, Michael, this is Sean. A little bit of a complex answer to that because it depends on a lot of assumptions. The things you would think about are how significantly different is it from our baseline forecast in terms of job and wage growth and where does it occur and when does it occur? So if we see acceleration, but it happens in August, it doesn't do a lot for us because we will have signed leases, through July, offers are out for August, September, October in some markets. So I would say it probably helps you as a better setup for 2025 if you saw that happen in the second half of the year. If we saw a significant acceleration in the macro environment in the next 60 days, as an example, beyond what we forecasted, that should play out better for us as we get into peak leasing season. I think you just have to remember that if silver market move in to market, kind of 30 days before they move in, as an example, but those renewal offers are in most markets from a regulatory standpoint, they're out 60 days to 90 days in advance and once it's out, you're not going back and saying, oops, sorry, I'm going to change rent and move it up.
Michael Goldsmith: Got it. That's helpful. And then just based on current conditions, how far along do you think that we are in post-COVID recovery in the Northern California and Seattle regions?
Ben Schall: Yeah, good question. When I talk about it in the context of maybe rent basis, I would say Northern California is still a long ways to go. We have rents that are essentially asking rents today that are down roughly 10% from pre-COVID peak levels. That's primarily driven by San Francisco being 12%, 13% below peak, which is, that's a pretty significant number and what I would say is that while I think we're seeing some green shoots in San Francisco in terms of what's happening with, say AI as an example, there's a long ways to go in terms of getting the sort of quality of the built environment at a place where people are comfortable, office leaders, business leaders, kind of calling people back to the office and/or people wanting to migrate to the city and be able to feel comfortable with what they're doing. So I'd say there is a lag there. How long it takes to play out, I think these things take a fair bit of time when you're talking about quality of life issues, crime issues, things of that sort. So I don't think this is necessarily a couple quarter type of issue. I think there's several quarters, depending on the political will of what happens to actually see it sort of trend the right direction for us in a more meaningful way. In terms of Seattle, I think a couple of things to think about as it relates to Seattle. Seattle rent levels for us are up about 8% from pre-COVID peak levels, but it is a very bifurcated market. The urban core of Seattle, whether it's right downtown, stuff like Union, Capitol, etcetera are much more challenged because of not only the quality of life issues that I mentioned that you have in San Francisco also in play there, but there is a meaningful amount of supply being delivered more in '24 than was delivered in 2023, which will compound the issue versus if you're mainly suburban, north end, east side, you're much more well-positioned. That's where the majority of our assets are in Seattle.
Operator: Our next question comes from the line of Richard Anderson with Wedbush. Please proceed with your question.
Rich Anderson: Thanks. Good afternoon. Sort of an open-ended question, but see if you can get a response out of you. New York Community Bank yesterday had its debacle. Former Signature Bank, both of them had multifamily as part of their problem in terms of own losses and whatnot. I think we have to distinguish between rent regulated and market rate, but still, and rent regulated is really what's causing the problem. But I'm curious if you're seeing anything new on the ground from your point of view. Perhaps this creates business, sort of growth opportunities for you, but are there operating disruptions that are happening in neighboring assets as a result of all this, just sort of bad operating behaviors and kind of a distress situation? Are you seeing anything along those lines that we should be concerned about from this banking perspective, lending perspective?
Ben Schall: Rich, we are not seeing significant distress in the system. You know, there obviously is the potential wave of maturities that's being highlighted by folks. For the most part, at least in our markets and the assets that we're spending time in and around, we're seeing lenders agree to extend out loans. We're seeing equity step in and put up more capital. Now, not all debt providers and equity providers are able to do that. So that does create the potential for some dislocation, but we're not necessarily seeing it of size. I'd say we're preparing to be ready to take advantage of it, but not seeing it at this point. Operationally, you know, the theme I would take you to is look back over, I don't know, this last cycle, last decade, world of capital being homogeneous. Capital is flowing to all types of players and generally is flowing at a similar cost to all types of players and so as we think about positioning going forward, there is an element of thinking about how we take advantage or step in opportunities for assets that are being operated by, less sophisticated players, players with less scale. And I'll kind of end on the theme of as we're thinking about the opportunity set out there, it is a combination of both places where we can bring our balance sheet to bear and bring our strategic capabilities to bear and we've spent a lot of time on our operating model transformation. It's got two impacts. It's one, it helps us drive internal growth, but we're also bringing those operational capabilities to our external growth.
Rich Anderson: Great, great color. Thanks for that, Ben. Second question for me, you mentioned, and we all know 2X the amount of supply in the Sunbelt versus your established regions and yet you're still predicting positive revenue growth in your expansion markets and I think it was said January new lease rent growth in the Sunbelt is flat, not even negative. Maybe I got that wrong, but nonetheless, it sounds resilient from a dollar's perspective, despite the supply. Is that a good way to look at it? Relatively resilient, I should say. And/or are you thinking, well, 2025 could be materially worse in the Sunbelt as sort of the supply picture builds on itself and starts to impact revenue maybe to a greater degree next year versus this year? Is that the way you kind of think about the Sunbelt today?
Sean Breslin: Yeah, Rich, this is Sean. But why don't we kind of parse the conversation into our portfolio versus the Sunbelt more broadly? What I indicated for our expansion regions in January is that blended rent change is essentially flat. If you were to parse that between move-ins and renewals, what you would see is that new move-ins are negative in the expansion regions down about 150 basis points as compared to kind of low to mid 3% sort of renewals. What I would tell you is that's primarily driven by some assets that we own in Charlotte in the South End, there are three assets that we acquired in that market a couple of years ago at a time where we loved the environment, great long-term neighbourhood, but we knew there was a fair amount of supply coming, sort of underwrote it that way. We're seeing the impact of that supply currently, as opposed to, say, Denver, where most of the pain and suffering is in the sort of urban core, much more significant pain and suffering given the volume of supply as compared to our broadly distributed portfolio across the suburban markets. So our portfolio, you kind of really, not a lot of assets. You really have to look region by region to understand it. What I would say more broadly about the Sunbelt, though, is certainly when you think about negative rent change playing through and what it does to revenue and NOI, the first thing that typically happens when you get into a much more competitive environment is people are starting to have weaker occupancy. We saw that happen in 2023 in terms of the leg down in occupancy, both in our established regions in the Sunbelt, but much more significant in the Sunbelt. That starts translating to much heavier discounting in terms of where people are marking their rents to try and occupy those units because some rent's better than none. That's what we've started to see in the last few months here and we'd expect that to continue as you roll through 2024 as those leases expire. So the most significant impact on both revenue and NOI would likely be, all else being equal, 2025 as you roll all those leases through the rent roll to that lower market rent. That's probably when you're going to see the most pronounced impact would be our view.
Operator: Thank you. Our next question comes from the line of Alexander Goldfarb with Piper Sandler. Please proceed with your question.
Alexander Goldfarb: Hey, good afternoon. Two questions. First, maybe just continuing on with Rich's line of questioning, as you guys look to the Sunbelt, it looks like most of your product, I think, is more suburban. So is that is basically as you assess opportunities in the expansion markets, are you really just looking only at suburban or are you looking at urban and what I mean by that is it seems that a number of the urban markets in the Sunbelt have the same issues that we have in the urban coastal cities, meaning people don't necessarily need to live right next to the office or there may be life quality issues, etcetera. Whereas in the suburbs, it seems more fit for Avalon's development model and also closer to recreation and sort of a quote unquote, easier lifestyle, if you will. So just sort of curious how you're shaping out your Sunbelt strategy of urban versus suburban.
Matt Birenbaum: Sure. Hey, Alex, it's Matt. I would generally tend to agree with you that we are very focused on suburban submarkets. We're focused on our acquisition efforts on suburban submarkets, which have less supply and/or product that is not priced at the very top of the market, because that's a price point we can't really access through new development, but we can access through acquisitions and also, we're also focused on garden product because it's simpler to operate and these are markets with higher property taxes and therefore lower operating margins and one thing that kind of helps counteract that a little bit is garden product, where at least you don't have some of the same operating cost overhang that you would have in, say, high rise assets. So we are we are tending to favor suburban submarkets and I think when you look at the portfolios we've got so far in the expansion regions, they are actually outperforming those markets as a whole because of the assets that we own in the submarkets that we owned and Sean mentioned maybe one of the bigger exceptions, which is the south end of Charlotte, but that's -- those are almost the only urban assets we've got so far that we've bought so far in the expansion regions.
Alexander Goldfarb: Okay, and the second question is in the fourth quarter, it looks like you guys wrote off four development deals for $9 million in aggregate, but nothing changed in the pipeline that is the projects that are underway. So maybe just a little bit more color on it sounds like these deals were really in their infancy, but just maybe some color around what caused you to scotch these deals and where they may have been located.
Ben Schall: Yeah, sure, Alex. We did have elevated write offs in '23 in general, and I think that's just a reflection of the fact that we have been as we've been talking about adapting our pipeline to reflect the changes in the economic realities, as asset values have dropped and cap rates have increased. So we're generally very focused on risk management. We keep a close eye on capitalized pursuit costs in every one of our deals. And our risk management has actually been one of the keys to us being able to develop profitably across multiple cycles over, really our 30-year history as a public company, 35-year. The write-offs this past quarter, actually, there was one project in Denver actually was an Urban Denver kind of getting back to your first point. The other one was a public private deal in California, and we've had a number of those where, the economics have just changed sufficiently that we didn't necessarily see a path to in many cases, we are able to recut the deal and get a path to a revised deal that does make sense. In those particular cases, that wasn't the case. So we had to let those go, but I would also just taken a big step back here that if you look at our total book of development rights, we currently have land on the balance sheet of $199 million and we have another $67 million in capitalized pursuit costs. So that's $265 million in total and we're controlling opportunity to build about 11,000 units with that investment, which is pretty strong leverage on that pursuit capital and I think, compares favorably to a lot of other both public and private players in the space. So it's that's kind of where it sits today and I'd say that we've gotten through a lot of the deals that were underwater and when we look at our pipeline going forward, we feel pretty good about it.
Operator: [Operator instructions] And our next question comes from the line of Linda Sye [ph] with Jefferies. Please proceed with your question.
UnidentifiedAnalyst: Hi, thank you. With new rent growth in January at negative 1.9%, how much more negative with that trend and at what point might it turn positive if you're ending '24 flat?
Ben Schall: Yeah, good question. What I would say is seasonally, rents start to pick up in January. Rent growth typically accelerates asking rent growth, this is as you move through the spring and into the summer. So typically what you would see is this would be sort of the low point of the year, kind of December, January, and then things would improve from here. So certainly, I mentioned, we're talking about basically getting flat for the year. So, we've got several months here where it will continue to improve, flatten out and then probably as we get to Q4, you would see it come back down and go slightly negative again, which is not uncommon in this kind of an environment. So you start to see sort of positive numbers as you get into Q2 and Q3.
UnidentifiedAnalyst: Thanks for that. And then on Avalon Connect with associated costs going away and revenues coming online, if you want to isolate the impact of that for NOI [ph], like how much would that benefit '25 NOI growth?
Ben Schall: Yeah, we're not providing any guidance as it relates to 2025 at this point. I did indicate what it was for 2024 as it relates to revenue and the impact on OpEx in my comments, my prepared remarks.
Operator: And our next question comes from the line of Haendel St. Juste with Mizuho Securities. Please proceed with your question.
Haendel St. Juste: Hey there, good afternoon. Two questions for me. First is a follow up on your comments earlier in San Fran, Seattle. Can you outline what your blended rent expectations for the two markets are this year? It seems like your client Seattle is creeping over into the east side and Bellevue, where you have more relative exposure while demand and pricing power still seems pretty evasive in San Fran and maybe some color on the level of concession you're offering as well as what you're seeing competitors offer in those markets. Thanks.
Sean Breslin: Yeah, Haendel, this is Sean. We haven't provided the market level detail for 2024, but thank you for some recent trend data. That's helpful. So for Q4 of 2023, Northern California overall blended rent change was down 2.8%, which is essentially down seven on new move ins and positive roughly 2.5% on renewals. In terms of Seattle, new move ins were down about 200 basis points and actually renewals were up about 200 basis points. I'm sorry, I misquoted that. The blended was 200 basis points. It was down one nine on new move ins and plus five nine on renewals and so we started to see a pickup in Seattle more recently, again, in that suburban kind of northeast east side sub markets, not downtown, which has been positive. People coming back to work from Microsoft and Amazon in particular having an impact on that and what I would say is we are more optimistic as it relates to what we expect in Seattle, given our portfolio in the Seattle market in 2024 as compared to Northern California for the reasons I mentioned earlier.
Haendel St. Juste: Any color on the impact of supply in Bellevue and any color on the concessions?
Sean Breslin: Yeah, in terms of the supply, Bellevue has actually been holding up quite well. Most of our portfolio, if you think of it, we have North End, we have a pretty core portfolio in downtown Bellevue and then also in Redmond. Redmond has actually been a little bit softer with the supply as compared to Bellevue, but I think it's related to concessions overall across the portfolio is most of the concessions that we experienced in Q4. More than 50% came from the combination of Seattle and Northern California, more skewed to Northern California for us relative to Seattle and it really is a sub market by sub market discussion. I'd say the most competitive sub markets in Seattle are two to three months free and that's urban core assets in lease-up today and are really close competitors. In the Bay Area, maybe two months would be the high end in Q4 is what we've seen and that's tapered a little bit in January, but pretty similar. So it really is kind of sub market by sub market assessment as to what you see.
Haendel St. Juste: I got it. Thank you for that. And last one, just speaking overall on the transaction market, I'm curious, how do you characterize your conversation of late with potential sellers and their cap rate IRR expectations with some hopeful distinction between coastal and the Sunbelt? I was at National Multihousing this week as well, and it seemed to be still a fairly wide bid ask spread with buyers sticking to their guns and some waiting to sell in the back of this year and hoping that lower interest rates would drive lower cap rates. So curious kind of how those conversations are going. Cap rate IRR expectations in any color on coastal versus Sunbelt. Thanks.
Matt Birenbaum: Sure. Hey, Haendel, it's Matt. Yeah, there's still, I would agree, there's still pretty significant bid ask spread for many assets. We tend to describe it as a market of haves and have-nots and there are lots of assets that would fall into the have not category because those are only going to transact if the cap rate is significantly north of the debt rate and the buyer can get positive arbitrage and so that would be tertiary markets, that would be some out of favor sub markets and, I don't know if it's so much coastal versus Sunbelt as it is kind of primary markets versus secondary tertiary markets in terms of that distinction. There's still plenty of interest in certain Sunbelt markets for sure. The assets that are trading, there is money that seems anxious to get going and, what we're hearing anyway is the cap rate now has to at least be in the fives, and there's some debate about what the year one underwriting is, because in some markets, obviously, NOI is starting to decline. So that makes it a little tricky as well. But, I would expect you're going to start to see some transactions get signed up here in the next two months to three months at cap rates, maybe somewhere between five and five and a half. That's a pretty big range, but again, only for assets that are considered highly desirable.
Operator: And we have reached the end of our question-and-answer session. I'll now turn the call back over to Ben Schall for closing remarks.
Ben Schall: Great. Well, thank you, everyone, for joining us today and we look forward to connecting with you over the coming months.
Operator: Thank you for your participation. This does conclude today's conference. You may disconnect your lines at this time.